Operator: Greetings. Welcome to the Oncternal Therapeutics, Inc. Q3 2021 Financial Results Call. At this time, all participants are in listen only mode. A question-and-answer session will follow the formal presentation.  Please note this conference is being recorded. I will now turn the conference over to our host, Rich Vincent, CFO. Thank you. You may begin.
Rich Vincent: Thank you, Ash. Good afternoon, everyone, and thank you for joining us today. Joining me on the call this afternoon are our President and CEO, Dr. James Breitmeyer; and our CMO, Dr. Salim Yazji. We welcome all of you. Today's call includes a business update and discussion of our 2021 third quarter financial results and upcoming milestones, which will be followed by Q&A. Today's press release and a replay of today's earnings call will be available on the Investor Relations section of Oncternal's website for at least the next 30 days. We also filed our 10-Q for the third quarter 2021 earlier today. Please also note that certain information discussed on today’s call is covered under the safe harbor provisions of the Private Securities Litigation Reform Act. We will be making forward-looking statements during this call about future events, such as our business and product development strategies and future financial and operating performance. Our actual results could differ materially from those stated or implied by these forward-looking statements due to risks and uncertainties associated with our business. These forward-looking statements should be considered in conjunction with and are qualified by the cautionary statements contained in today's press release and our SEC filings, including our Form 10-Q for the quarter ended September 30, 2021. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, November 4, 2021. We undertake no obligation to revise or update any forward-looking statements to reflect events or circumstances occurring after the date of this conference call. With that, it's my pleasure to hand the call over to our CEO, Dr. Jim Breitmeyer.
James Breitmeyer: Thank you, Rich, and good afternoon, everyone. At Oncternal, we are committed to developing novel treatments for patients with cancer who have critical unmet medical needs. We're advancing a recently expanded and robust product pipeline with clinical and preclinical product candidates that target several such cancer indications. Our development efforts focused on biological pathways implicated in cancer genesis and progression. I'd like to discuss ROR1 first. We believe we have one of the most advanced and diverse pipelines targeting ROR1, based on our deep expertise and experience with this target. Our lead asset, ROR1 inhibiting antibody cirmtuzumab, we're announcing today has a new generic name and its INN will be zilovertamab from now on. We will be presented updating results from our ongoing Phase 1b/2 clinical trial with zilovertamab + ibrutinib in patients with mantle cell lymphoma or chronic lymphocytic leukaemia at the American Society of Hematology Annual Meeting in Atlanta in December of this year. You may have noticed that interim results in our abstract, which were based on June data are available as of today on the ASH website. And we look forward to presenting updated data during our ASH poster presentation on December 13. Our ongoing interactions with the US FDA regarding potential registration pathways for Zilovertamab are progressing well. And we expect to agree on a pivotal study design for patients with Mantle Cell Lymphoma, MCL in the coming months. ROR1 remains an increasingly visible target in the oncology space, since it was the subject of M&A activity, including the acquisition of VelosBio by Merkin company and NBE Therapeutics by Boehringer. VLS-101 which is now known as MK-2140 is VelosBio ROR1 targeting Antibody Drug Conjugate or ADC and was originally invented and developed at  this ADC utilizes Zilovertamab as the ROR1 targeting moiety in. We also continue to collaborate on two investigator sponsored clinical studies of Zilovertamab at UC San Diego. First a phase 1B clinical trial of Zilovertamab in combination with Paclitaxel, for the treatment of women with HER2 negative metastatic or locally advanced unresectable breast cancer has completed enrollment. Second, a Phase 2 clinical trial of Zilovertamab in combination with venetoclax and BCL 2 inhibitor in patients with relapsed refractory CLL is ongoing and enrolling patients. With respect to our ROR1 targeting cell therapy programmes, we continue to advance them toward the clinic as planned. For our lead autologous CAR-T programme, which we have selected -- for which we have selected ONCT-808 as the lead, we have made tremendous progress in GMP process development with our CDMO collaborators, and our completing IND supporting preclinical studies with leading academic institutions to enable the submission of the first IND in the first half of 2022. We also made progress regarding potential second generation allogeneic cell therapy programmes. We established a partnership with cellularity to evaluate placental cell derived therapies targeting ROR1 and we strengthened our partnership with the Karolinska Institutet in Sweden, including recently joining Nextgen MTAG Institutes Competence Centre for the development of next generation MK based cancer immunotherapies. We also recently announced that we have engaged a group of industry renowned experts in the cell therapy field to serve as our cell therapy Scientific Advisory Board and to support our efforts to bring safer and effective ROR1 targeting cell therapies to patients faster. We act on ternal and our newly formed SAB are very excited about the potential of our cell therapy programmes targeting ROR1 which may allow for the selective targeting of tumor cells that express ROR1 while relatively sparing healthy tissues. In another program, we also advanced the development of ONCT-216 which was formally designated TK-216. Our investigational targeted small molecule inhibitor of the E26 transformation specific or ETS family of oncoprotein. We look forward to the oral presentation of an interim clinical data update next week at the Connective Tissue Oncology Society, or CTOS 2021 Virtual Annual Meeting. Additional Phase 2 expansion cohort is now open and enrolling Ewing sarcoma patients and is evaluating single agent ONCT-216 using an intensified dosing regimen, designed to increase the amount of ONCT-216 that is administered over time. Now, I'd like to provide an introduction to the latest addition to our pipeline. We have designated OCNT-534 as the lead candidate in our preclinical dual-action androgen receptor inhibitor or DAARI program. OCNT-534 was originally developed by the University of Tennessee and was acquired by Oncternal as part of our reverse merger with GTX in 2019. A substantial body of evidence from in-vitro and in-vivo studies has been developed that strongly suggest that OCNT-534 is active on both the N-terminus and the ligand binding domains of the androgen receptor, in addition to causing degradation of the receptor. The molecule is active in preclinical prostate cancer models that are resistant to current standard-of-care therapies such as enzalutamide and abiraterone. We believe OCNT-534 may have the potential to address the significant unmet need for men with prostate cancer caused by tumor resistance mechanisms, including those involving expression of androgen receptor splice variants, such as ARB7. With that, I will now turn the call over to Rich Vincent to review our financial results and upcoming milestones.
Rich Vincent: Thank you, Jim. In October 2017, CIRM awarded $19.3 million grant to researchers at the UC San Diego School of Medicine to advance our Phase 1b/2 clinical trial evaluating zilovertamab in combination with ibrutinib for the treatment of patients with B cell lymphoid malignancies, including MCL and CLL. We are conducting this study in collaboration with UC San Diego and expect to receive approximately $14 million in development milestones under research subawards throughout the award period. In conjunction with this award, our grant revenue was $2.4 million, $1 million for the third quarter ended September 30, 2021. Our total operating expenses for the quarter ended September 30, 2021 $11.8 million, including $1.5 million in non-cash stock-based compensation. Research and development expenses for the quarter totaled $9 million and general and administrative expenses totaled $2.8 million. Net loss for the third quarter was $9.6 million or loss of $0.19 per share, basic and dilutive. As of September 30th, we had $97.4 million in cash and cash equivalents. We believe these funds will be sufficient to support our operations into 2023. As of September 30, we had 49.4 million shares of common stock outstanding. With respect to upcoming milestones for our zilovertamab program, we expect a clinical data update for the ongoing Phase 1b/2 in MCL and CLL during the 2021 ASH Annual Meeting on December 13. An update regarding our ongoing FDA interactions regarding potential registration pathways for zilovertamab in patients with MCL. For ONCT-216, we will report updated clinical data from our Ewing sarcoma Phase 1/2 study next week during 2021 CTOS Annual Meeting. On the cell therapy front, we are advancing our autologous ROR1 CAR-T cells program ONCT-808 and plan to submit the first IND in the first half of 2022. We are also looking forward to hosting an R&D Day on January 25, 2022, where we will provide a comprehensive strategic update on all of our programs and key development priorities. This will include insights from key opinion leaders in the fields of MCL therapies, cellular immunotherapies as well as Androgen Receptor resistance in prostate cancer. Now, I will turn the call back over to Jim. Jim, are you on mute?
James Breitmeyer: I must be. Thank you. Thank you, Rich. In closing, we are very encouraged by the progress on all our programs. We continue to have a strong balance sheet and we have a very strong management team. They're important catalysts for the company in the months and quarters ahead, including particularly agreement with FDA on a registration path for zilovertamab, clinical data readouts for zilovertamab and ONCT-216, and advancement toward the clinic for our ROR1 targeting autologous CAR-T therapy candidate, ONCT-808, as well as for our dual action AR inhibitor prostate cancer candidate ONCT-534. I look forward to updating you in the coming banking conferences and at our R&D Day on January 25. Thank you for joining us today. With that, I'll turn things back to Alex for the Q&A portion of this afternoon's call.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session.  Our first question comes from the line of Hartaj Singh with Oppenheimer and Company. Please proceed with your question.
Hartaj Singh: Great. Thank you, Jim, and team for the update. Just a couple of questions. Jim, I know you're going to smile this one, because you always get it, I have to ask it. With zilovertamab, you've been having, I guess, a few interactions. And you have been indicating that you're given an update to investors in the next few months, has your thinking changed, with these interactions as to what the parameters or the contours of the clinical development plan would look like in MCL? That's number one, any updates there? And then number two, you're ROR1 CAR-T cell therapy, the IND plans in the first half price of 2022, what kind of clinical development plan do you foresee? Once that R&D comes through? Is it going to be sort of a dose escalation to dose expansion? What kind of tumors basket study, et cetera, love to get some color there? Thanks for the questions.
James Breitmeyer: Sure, Hartaj. So I think that the – the interactions with FDA have been open, collegial and very helpful. And so what I'd say has evolved with the latest information that that we provided then was the clinical results from the ASCO meeting. And I'm sure you'll recall that the some particular clarity in the ASCO dataset emerged that zilovertamab plus ibrutinib is providing a very encouraging progression free survival compared to ibrutinib alone. And so that entered into our discussions with them and plays into study designed for registration studies that we're discussing with them. I think we discussed on previous calls that we are considering that it's likely to be a randomized study of BTK inhibitor alone versus BTK inhibitor plus zilovertamab. And so with encouragingly, stronger results for complete response, and overall response, and progression free survival, that gives us some very interesting material for negotiating trial designs. So that's your first question. Let me turn over to Salim, our Chief Medical Officer to discuss the potential shape of a CAR-T clinical development program.
Salim Yazji: Yeah, Thank you, Jim. So actually, yeah, we are very excited about the CAR-T program. And what we’re planning to do is a Phase I dose escalation to get recommended Phase II dose, as well as we will be using most likely the B-Cell malignancy patients as a first-in-human study.
Hartaj Singh: Great. Thank you. In the B-Cell malignancy, just from your pre-clinical modeling, are there any tumor types that you expect to be -- that you think could be more useful for air weight versus others?
James Breitmeyer: Well, I mean, in the B-Cell malignancy, we were looking at mental cells, we’re looking at LL , we’re probably going to look into a diffuse large B-Cell lymphoma. So that's what we'll be looking for as a first try.
Hartaj Singh: Great. And then just last question for you, which is on the HER2-negative breast cancer, any updates there that you plan in 2022? And I'll jump back in the queue. Thank you.
Salim Yazji: Sure. Yeah, let me let me remind you that the breast cancer study is an investigator sponsored study and the timing of the data release, it’s usually not in our hands. However, with that said, Jim, has mentioned earlier, the study has been fully enrolled, and hopefully will be published soon.
Hartaj Singh: Great. Thank you, everyone.
Salim Yazji: Thank you.
James Breitmeyer: Thank you.
Operator: Our next question comes from the line of Carl Byrnes with Northland Capital Markets. Please proceed with your question.
Carl Byrnes: Thank you. Thanks for the question. Congratulations by the way on your progress. Just for briefly, do you have the thoughts in terms of the timing of IND-enabling studies for ONCT-534? And then also to the extent you could speak on the research collaboration was celularity? And also the Karolinska Institutet, which recently announced in terms of when you might see identify candidates there? Thanks.
James Breitmeyer: Carl, thanks. Thank you. And I think I can, I think, I can handle both of those questions. So for 534, we have selected the molecule, and with -- and you're familiar with the drill on getting to an IND, that in the early going, manufacturing is usually rate limiting to get to material representative material that you can use for your IND-enabling studies. And so we're not ready to guide on when the IND might be ready to submit. But with the -- but I think that the you know, you can expect that there will be IND-enabling studies underway next year certainly. And then with the -- with celularity and the Karolinska, we will also be expecting to have data emerging from those collaborations next year. Again, we're not guiding specifically because we're not in control of the work that's being done in those laboratories. But I will say that we're feeling quite upbeat about both of those. And the overall what I'd say is that you can expect the next generation cell therapy to be running somewhere very roughly around a year behind the lead Autologous CAR-T program.
Carl Byrnes: Got it. Thanks so much.
James Breitmeyer: Sure. Thank you. 
Operator: Thank you. Our next question comes from the line of Kumar Raja with Brookline Capital Management. Please proceed with your question.
Shubhendu Sen Roy: Hi. I'm Shubhendu calling in for Kumar. Appreciate the update. Thank you so much. With respect to the pre-clinical results of the CAR-T program, I was wondering if you could, you know, give some color to the persistence of ONCT-808 CAR-T cells in the body. And I'm just trying to get an idea of how long lasting the therapy will be? And also what percentage of antigen escape do you estimate for ONCT-808? You know, that could be important for a cancer relapse scenario. Thank you.
James Breitmeyer: Thank you. Those are both good questions. And so as far as persistence goes, we are -- you're probably aware of some work that was done by investigators at the University of Washington in Seattle at the hutch with a ROR1 CAR-T that had rather short persistence. And we think we understand why that was. It is -- we think it's because they used a rabbit antibody fragment to target ROR1 and as a result of that the CAR-T that they administered had foreign antigen rabbit protein on the surface and we think contributed to low persistence. The -- we expect our ROR1 CAR-T, which will have a fully humanized targeting moiety on the outside to escape this immune clearance and have significantly longer persistence. The antigen escape question is a great one, because CD19 escape has emerged as a very significant problem in the CAR-T space. And so we're hopeful that ROR1 targeting will circumvent some of that CD19 problem. The reason we're hopeful about that is that CD19 is not an essential component to the B-Cell malignancies, biology or survival. In contrast, ROR1 which is not normally expressed on adult B-Cells is conferring survival and aggression and invasion characteristics to the cell. It's an accurate signal transducer. And so, if -- and it's been shown that if you suppressor ROR1 from a ROR1 expressing tumor, the results one negative cells are not very malignant. They have lower tumor forming potential and lower aggression pattern. So, we're hopeful that ROR1 negative escape will be less common than it has been with particularly CD90.
Shubhendu Sen Roy: Thank you. That was very useful. You mentioned that the initial plan is to test on circulating B-Cell malignancies. I just wondering if there any -- if you're thinking in terms of testing in solid cancers as well.
James Breitmeyer: Salim, do you want to talk about that?
Salim Yazji: Yeah, absolutely. So I think our first generation will be an B-Cell malignancy. And then, as we will develop our ROR1 cell therapy, I think a solid tumor will be targeted as well.
Shubhendu Sen Roy: Sounds great. Thank you for taking my questions.
James Breitmeyer: Sure. Thank you for the questions.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now turn the call over to Dr. Jim Breitmeyer for closing remarks.
James Breitmeyer: All right. Thank you, everybody. We appreciate your interest and attention for our third quarter release and overview. We look forward to seeing you, we hope, at our January 25 R&D day, which will provide a review of our pipeline and priorities and offer insights from key opinion leaders in MCL and CAR-T and androgen receptor biology. With that, thank you and goodbye.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation. Have a wonderful day.